Operator: Good day. Thank you for standing by and welcome to the Upwork Fourth Quarter 2021 Earnings Conference Call. at this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today Evan Barbosa, Vice President of Investor Relations. Please go ahead. 
Evan Barbosa: Thank you. Welcome to Upwork's discussion of its fourth quarter and full year 2021 financial results. Leading the discussion today are Hayden Brown, Upwork's President and Chief Executive Officer; and Jeff McCombs, Upwork's Chief Financial Officer. Following management's prepared remarks, we will be happy to take your questions. But first I'll review the Safe Harbor statement. During this call, we may make statements related to our business that are forward-looking statements under federal securities laws. These statements are not guarantees of future performance but rather are subject to a variety of risks, uncertainties, and assumptions. Our actual results could differ materially from expectations reflected in any forward-looking statements. In addition any statements regarding the current and future impacts of the COVID-19 pandemic on our business and our current and future impacts of actions we have taken in response to the COVID-19 pandemic are forward-looking statements and related to matters that are beyond our control and changing rapidly. For a discussion of the material risks and other important factors that could affect our actual results please refer to our SEC filings available on the SEC website and on our Investor Relations website as well as the risks and other important factors discussed in today's shareholder letter. Additional information will be set forth in our annual report on Form 10-K for the year ended December 31st, 2021 when filed. In addition reference will be made to non-GAAP financial measures. Information regarding a reconciliation of non-GAAP to GAAP measures can be found in the shareholder letter that was issued this afternoon on our Investor Relations website at investors.upwork.com. As always, reported figures are rounded unless otherwise noted comparisons of the fourth quarter of 2021 are to the fourth quarter of 2020 and comparisons to the full year of 2021 or to the full year of 2020. All GAAP measures -- all measures are GAAP on not cited as non-GAAP. Now, I'll turn the call over to Hayden.
Hayden Brown: Thanks Evan and thank you all for joining us today for our fourth quarter and full year 2021 earnings call. 2021 was a remarkable year for Upwork not only in how far we push our business forward, but also in how clearly it has set our path for continued performance in 2022 and beyond. GSV grew 41% year-over-year to reach $3.5 billion and revenue grew 35% year-over-year to reach $503 million for the full year 2021. Additionally, during the fourth quarter, we surpassed $15 billion in lifetime talent earnings on Upwork. This achievement highlights the magnitude of impact we have had and signals how we are leading the global movement to reimagine work. Last year we launched a host of powerful products and features including Project Catalog Talent Scout and virtual talent bench as well as valuable partnerships with technology and benefits providers such as Loom and Catch. We had successful high-profile collaborations with leading brands including Budweiser and Crispin Kish launched the perfect Fit brand campaign to raise awareness of Upwork to customers and prospects. And in the third quarter, as a result of our confidence in the long-term value creation opportunity in enterprise sales, we announced our intentions to double the number of account executives on our sales team by the end of 2022. And we are just getting started. We believe, timing matters and time frame matters. In terms of timing, the time continues to be now for investing in our business to win customer market share at a time when customer needs for our offering are accelerating and our brand awareness is low. We will do this with conviction in the year ahead, as planned because, we are building a powerful and sustainable business with leading share, economics and growth rates for the long term. In terms of time frame, 2021 was the first year, executing our three-part strategy to innovate, evangelize and scale our work marketplace. We have always known this strategy will take multiple years to fully deliver and we are pleased with our progress to date. Due to this progress and are confident in our execution, we are accelerating our target of achieving $1 billion in revenue by one year to 2024, up from our previous time line of 2025, with a compound annual growth rate of approximately 25% over the next three years. We are also excited to announce, that we are setting an enterprise revenue target of $300 million by 2025, almost 10 times what we delivered in 2021, which represents a compound annual growth rate over the next four years of more than 70%. Our innovation ambitions are bigger than ever. Amidst the backdrop of the work awakening at time in which people are reevaluating what they want in work and life and realigning their priorities accordingly. We have embraced an expanded vision for Upwork as the world's work marketplace. We build for companies to flex into the new operating model of the new world and we build for talent to flex into new ways of working. We anticipate that the businesses who embrace this work awakening will be poised to out-innovate companies who do not. 2022 is the year that Upwork takes the next steps in evolving from being the largest global freelance marketplace, as measured by GSV to broadening our horizon as the world's work marketplace. Our focus has evolved because the world has evolved. The old binary notion of freelance versus full-time employee work are being revisited in a world where remote work is rampant, where career and work innovation is happening all around us and where talent and clients are searching for new solutions to both new and old challenges they're struggling with. Many professionals are seeking to unbundle aspects of traditional full-time work to get benefits in new ways, while others are seeking new benefits without shackling themselves to a full-time job. We are poised to innovate these solutions with and for our customers and our strong foundation, help us do just that. We have distinctive know-how in building and delivering relationship-centered flexible solutions for knowledge workers. We have products in the market that already empower workers to seamlessly transition from freelance to full-time work and back. And we have teams that already design and deliver modern work models at scale for our enterprise clients. This year, we will build on our existing foundations with a lineup of new offerings that will continue to make the transition from freelance to full-time and vice versa and the integration of both working models seamless for all our customers. We at Upwork are focused on accelerating the work awakening, empowering professionals by building their online home for work that grows and flexes with them across their career and as their needs change. And for businesses, delivering a singular destination that gives them access to the freelance and full-time professionals they need on the work marketplace that makes these powerful relationships and the tools to manage them a foregone conclusion. We have always seen ourselves as the pacesetters of innovation and work. And in a time when the speed and creativity with, which people are constructing their careers is accelerating and companies are rethinking their workforces, Upwork will be the work marketplace that empowers them to achieve their goals. Thank you for joining us on this journey. We will now open the call to your questions.
Operator: [Operator Instructions] Our first question will come from the line of Maria Ripps from Canaccord. You may begin.
Maria Ripps: Hi. Thanks so much for taking my question. I just wanted to ask about your customer count in the quarter here. Any update you can share with us on roughly what portion of new customers on the platform are now being driven by Project Catalog? And I know you previously said it was 10%, but anything you can share with that. And then now with this product – now that this product has been around for some time, what portion of customers who came in via Project Catalog are now engaging with the platform more deeply? And then I have a quick follow-up.
Hayden Brown: Sure. Thanks Maria. We are seeing really great progress with Project Catalog. Definitely every quarter we've seen increases in the number of customers coming in through catalog. And the bigger picture for us here is -- this product is really designed as a new way to capture the imaginations of customers who may not know to engage with freelance talent on our work marketplace give them a way to get started with this one click model, and then of course be able to cross-sell to them other ways of working with talent and for sure to your question, we have seen that hypothesis validated. We're seeing a significant number of these customers actually going further than just catalog and using a talent marketplace or Talent Scout or other ones of our offerings. And similarly our existing talent marketplace and other customers have been crossing over and using catalog as well. So we're seeing really great validation that customers do have these needs that span different types of products, different types of use cases and that adoption has been really supporting the whole thesis at the work marketplace is what's required to meet the needs of all customers.
Maria Ripps: Got it. And then maybe a bigger picture question, as many companies are struggling with labor shortages here. Are there any categories or verticals on the platform where you perhaps seen an acceleration of growth as a result of that? And maybe related to that are there any verticals where you feel like the platform maybe would benefit from a deeper pool of talent?
Hayden Brown: Sure. We're really seeing tremendous strength across the board in all of our categories right now. And we've seen acceleration in some of our biggest categories. We've seen some smaller categories like accounting and consulting, which grew at 72% year-over-year in the past quarter. So in this market, we're actually not seeing negatives. We're seeing this war for talent happening in the world at large. And despite that, the value proposition of what's available on Upwork is actually increasing with talent. We see sign-ups from new talent and active engagement from existing talent at or near record levels continually. And I think that really speaks to the broader story of the work awakening and the fact that talent are now looking for a different value proposition in the world at large and what we have to offer really meets that value proposition so well. So there's a ton of health there and we're excited about what that means both for now and the future.
Maria Ripps: Got it. Thank you very much. Appreciate the colour.
Operator: And our next question will come from the line of Eric Sheridan from Goldman Sachs. You may begin.
Eric Sheridan: Thank you so much for taking my questions. And maybe two-part question, if I can. In terms of the marketing investments you're calling out that would put some margin pressure on in 2022. Just give us a little bit of looking back and what you've seen in the business, where now is the right time to lean in on those marketing investments and try to scale the platform against the opportunities that you see? And then looking further out than just 2022 how should we be thinking about elements of wanting to capture leverage in the model as you grow in scale versus continuing those investments on a multiyear view? Thank you so much.
Hayden Brown: Eric, our view is that timing does really matter around this investment. And specifically, this is such a favourable environment for us to making the investment in. We see that this is a unique moment because of the work awakening. Businesses have never been more in need of our products. And on the other side professionals are really rethinking their priorities and are really drawn into the model that we have. We know, at the same time that our unaided brand awareness amongst our target clients is in the single-digits. And we imagine how much bigger our business can be if we are able to double or triple that awareness. And to your point about looking backward this investment is absolutely a continuation of our strategy that we initiated in 2021. And we've been preparing for this as we launch the work marketplace category in May of last year and then in the back half of last year began increasing that brand investment, seeing the signals, really as it was that this was working. And then, in January, we brought on the list of Waters is our CMO to further set us up to really be building a world-class brand that shapes the category that shapes customer behaviour in our category and really sets us up to be making this investment with a lot of confidence this year. Let me hand it off to Jeff to talk a little more about the rest of your question.
Jeff Mc Combs: Thanks Hayden. Yeah our investment philosophy with respect to brand marketing is exactly the same as it's been with sales and performance marketing. Our goal is to invest as much as we possibly can, wherever we can get returns that we think are comfortably above our weighted average cost of capital. And with respect to brand marketing, just like sales and performance marketing we're focused on driving real business outcomes. And what that means for us is we're trying to drive more clients and increased spend from our existing clients. And so we want to see -- we have a hypothesis that, as we increase our unaided brand awareness that that will convert into real business outcomes. Now we bring patients to this. We know that it's going to take time to move our brand awareness. And to test and learn into this to understand what is the optimal mix of creative, and channel, and geo, and reach and frequency and whatnot. So we bring the patients to it. That being said, we also bring an urgency like all of you to try to understand, how are the -- how is the spend converting in the interim. And so we're looking at top of signal metrics, traffic, client registrations, pre-rental registrations, branded search queries. We also look at the proxy metrics. How are we moving brand consideration, how are we moving brand awareness, how are we moving brand relevance, et cetera. But ultimately, the goal is to absolutely move -- convert the investment into real business outcomes. And in terms of the impact on long-term margins, we absolutely believe this is a business that can deliver 30% to 35% long-term EBITDA margins. We are actively driving leverage in cost of revenue, G&A, but we also see this as a great opportunity to focus on our top priority, which is growing the business by investing in those areas that are returning attractive dollars whether that's sales, performance marketing, brand marketing, whatnot, and the early results that we're seeing at the top of the funnel with respect to brand marketing are encouraging. So we're excited to be pushing on this front.
Eric Sheridan: Great. Thank you for the color.
Operator: Our next question comes from the line of Bernie McTernan from Needham. Your line is open.
Bernie McTernan: Great. Thanks for taking the questions. Maybe just to zero in on the revenue guidance or long-term revenue guidance, moving the $1 billion of revenue up by a year only about six months after the guide. What's been primarily outperforming expectations? And then, on enterprise expecting $300 million, is that -- should we be assuming that you guys keep bringing on more land account reps, or is that maybe a different thought process and maybe how steep the curve can get and how businesses are spending? You provide some interesting data in terms of how big some of these businesses are in the GSV on the platform? 
Jeff McCombs: Excellent. Thank you very much for your questions. In terms of the $1 billion goal, really the way we thought about this is, we saw two key themes happening in the business. First off, super excited about the results of our enterprise efforts. The team did a great job in 2021, hitting the unit economic productivity targets that we had. We know that those are attractive investments to make. So that's why we're doubling the sales force in 2022. And that caused us to be comfortable with a long-term target of $300 million in 2025. And the second dynamic is that we saw really strong performance in our spend per client. So whether that is the 15% year-over-year improvement in the 771,000 clients that we have on the platform or those that are spending over $100,000 per year, that increased by 51% or $1 million spenders that increased by 61% year-over-year in terms of the number of those. So those two dimensions caused us to be comfortable with a target of $300 million of enterprise revenue in 2025, which then gave us comfort that we can bring in our $1 billion revenue target from 2025 to 2024. And with respect to how we're going to get to that $300 million in enterprise revenue, we don't need any productivity improvements per rep from what we're seeing from the team right now, which is great. Now that being said, we'll continue to focus on making sure that we're as effective and productive as we possibly can. And continue investing to hire additional reps. As we indicated, we're going to double those in 2022. We absolutely do need to continue investing in those reps, which is a great investment for the company. And the rep growth will probably roughly mirror the growth of the revenue between now and 2025. Thanks for the question.
Bernie McTernan: Great. Thanks, Jeff.
Operator: Thank you. Our next question will come from line of Marvin Fong from BTIG. You may begin.
Marvin Fong: Great. Thanks for taking my questions. A couple of them have already been answered. But maybe we could start on take rate. I think a bit larger decrease quarter-over-quarter than we've seen in the last few quarters. And I know you mentioned more uptake of longer-term relationships. Just looking forward in terms of sort of the cadence on how that might evolve in 2022? I know you mentioned it should be up very slightly. Maybe you could just give us a little more breakdown between like your first quarter guidance. What does take rate look there, quarter-over-quarter and then for the balance of the year? And then I have another follow-up.
Jeff McCombs: Sure. Thanks, Marvin. So you're right in that. Our take rates and our spend per client seem to be inversely correlated. So given the pricing model that we have where as clients and freelancers find more success on the platform and end up spending more within those existing relationships the average take rate progresses, I guess the price that they're charged goes from 20% to 10% to 5% and therefore the average take rate feels a little pressure. So the strength that we saw in the average spend per client going up 15% year-over-year was reflected in a little bit of a take rate pressure quarter-over-quarter. And as we look out into 2022, we do expect that on average for the year, the take rate will be higher than we're exiting 2021. That's going to be driven by a number of dynamics a few initiatives that we're working on including growth in Project Catalog or Talent Scout Enterprise which all three of those have higher take rates than the rest of the business. So we would expect those dynamics to be lifting take rate a bit throughout the year kind of more in Q2 and beyond than in Q1 but we're excited to see you lift there. Thanks, Marvin.
Marvin Fong: Great. And just a follow-up if I may. Just I think you did highlight how spending per client is up, no matter how you cut it. Maybe you can just kind of drill down. I mean are they doing more projects or the value of the projects going up? I'm sure there's some interplay between the two, but maybe just kind of talk about that, and then how you're modeling those two as you give us these longer-term targets where will the GSV growth comes from more from spend per client or new clients? Any color there would be great?
Jeff McCombs: Yeah. So with respect to the spend per client, we've seen a lot of success in the longer-term projects on our platform. So hourly projects have been growing at a faster rate than fixed price projects and the number of hours within those projects has been increasing over time. We've also seen increases in hourly rates. But surprisingly that's been relatively consistent over the last several years. So it's really clients and freelancers are finding more value in the platform and extending the duration with which they're using the platform. In terms of growth going forward, where would we expect growth to come from? We really do expect it to come from both. We obviously -- we're pleased that our average spend per client is up 15%. That being said, it's still in the $4,000 range. We think there's significant opportunity to continue increasing that for many years to come. And also understand that we serve 771,000 customers client on the client side this past year. We do think there's lots more room over the long-term to continue growing that. And that goes directly to the brand marketing efforts that Hayden touched upon. We believe that if we can increase awareness of our offering that we have the opportunity to meaningfully move those business metrics and new clients is absolutely one of the key ones there. 
Marvin Fong: That’s great. Thanks so much, Jeff. Appreciate it.
Operator: Our next question line of Matt Farrell from Piper Sandler. You may begin.
Matt Farrell: Thanks, guys. Congrats on the really strong results in the pulling in of the $1 billion target. I just wanted to dive a little bit deeper into the enterprise opportunity. What really remains the biggest overhang with potential customers in that space today? And how do you overcome that overhang to kind of drive to your $300 million target that you laid out today?
Hayden Brown: Thanks, Matt. There's really not a big barrier to hitting the $300 million target other than executing really well against that goal. I think we have a lot of confidence that we're on that path. And we see the proof points with the performance we've delivered around things like the 78% year-over-year growth in the new deals on the land side, Q4 enterprise revenue up 65% year-over-year and our $1 million spenders up 61% year-over-year. So the momentum we're seeing in that part of the business has been great in the execution is really strong and we think we can continue that execution and that's what's going to take us to that $300 million goal. I think, however, there's such a big market opportunity there that we're trying to unlock. That's where really awareness is one of the big efforts where we think so many of these customers and we know from the brand awareness data, don't know about us, haven't heard about us and they send that they do. Sometimes they're hearing negative top tracks from our competitors in the market, mainly legacy staffing firms who may be already working with those customers around what we can offer. And so, that's really the bigger unlock in terms of how else we are trying to accelerate that space, is just getting our name out there, getting the story out there that will further amplify I think all of our efforts in the business, both on the sales side of the house, performance marketing, halo effect and efficiency improvements hopefully over time, those types of things. Now, clearly, its early days with this investment and Jeff talked about some of the goals and the ways we're really being disciplined about measuring that. But I think one of the biggest challenges is these firms haven't heard about us and so our sales teams are going in and educating them, but we think there's more we can do to make that job even easier for them. 
Matt Farrell: Awesome. And then, as I think about 2022, is there a sense of seasonality that returns to the business, hopefully, as we come out of COVID here this year, or are we still in a place where just the market dynamics and the growth that you're highlighting that, seasonality really doesn't exist, given the broader opportunity ahead?
Jeff McCombs: Yes, it's a great question. Obviously, COVID is incredibly hard to predict and probably given up trying to exactly understand how that behaves. But really our numbers have followed kind of a week-to-week and month-to-month level of seasonality, since, I don't know, maybe mid-ish 2021. Now, clearly, certain business dynamics do overrun that seasonality. So with respect to our enterprise offering, if you just looked at those numbers, there's not a whole lot of seasonality that comes into play in terms of the overall revenue growth there, because it's driven much more by new account execs that we have, how many accounts they're bringing in and new account managers and all those sorts of dynamics. But we do see that there is a -- obviously, the dynamics that were driven or the week-to-week metrics that were driven throughout COVID look different now. And our goal would be to, obviously, bend those curves as much as we can to make sure that our growth drivers are the primary things that are driving the business forward and you're seeing that absolutely play out on the enterprise side, you're seeing that play out in the spend per account. And then we hope that with brand marketing, we're able to do that same thing. That's absolutely the intention with those investments.
Matt Farrell: Awesome. Thank you so much. Congrats again.
Jeff McCombs: Thank you.
Operator: Our next question comes from the line of Andrew Bilen [ph] from JMP Securities. You may begin.
Unidentified Analyst: Hi, guys. Thanks for taking my questions. Two please. So first, with wage inflation across the board, can you just talk about how that impacts your market? What are the dynamics that we should be thinking about from the outside? And then, the second question is 2021 was a major year for product launches. As we think about your enterprise goal of the $300 million, what are -- what else are enterprise is asking for, right? I think Hayden you mentioned in your prepared comments that there was a fluidity between freelancers and full-time workers. Is there anything else that we can expect for 2022? Thank you so much.
Hayden Brown: Sure. So on the wage inflation side, I can definitely characterize -- we talked earlier on the call about the talent dynamics not slowing down if anything they're faster than ever in terms of talent really being interested in this model. We see talent set their own wages on our platform and they're doing that in a really healthy way today. Wages are strong. We also see that clients in a tight labor market really see our value proposition resonating more strongly than ever. Globally they're looking at different wages and we arbitrage becomes more of an issue. They also start to see even more sharply that we have a competitive edge over traditional talent businesses like staffing agencies, who have these really steep markups compared to our directed talent model. And therefore, are even more hard pressed than even in normal times to compete on an economic basis. Never mind the fact that our corn quality is so much more superior to theirs. So in all of that, we are in a really strong position in a tight labor market. However, we still face the reality that so many of these companies just haven't heard of us so they don't even know that these advantages exist on our platform. To your second question around what our enterprise is asking for, a lot of it is building off of the solutions we've already been giving them things like bring your own talent compliance offerings where they are trying to build these hybrid teams of workers make it even easier for their workforce to have a single log in, a single place to go to source talent break down the barriers between what a freelance worker is doing, an employee is doing, because oftentimes that matter is not consequential. That difference is not consequential anymore. And so we're really helping them build these things out programmatically. And so when we look at our product road map for enterprises, a lot of the solutioning is around giving them more of the access to those different talent pools in a much more seamless way and making it just easy for customers to do that without having to worry about things like how is this person going to be classified? Do you need to think about all of the back office things to do in order to get started with this person whether they are a full-time worker or a freelance worker? And so, we're really leaning into the reality that that is how the customers are thinking about these things today those distinctions are no longer nearly as important as they once were and building the single destination on our work marketplace for these enterprise customers to come in and use our solution that way even more than they've been able to do so in the past.
Unidentified Analyst: Thank you.
Operator: Our next question will come from the line of Rohit Kulkarni from MKM Partners. You may begin.
Rohit Kulkarni: Hey. Thanks and a very nice quarter and a very optimistic guidance. I guess, on the brand marketing, can you recap in terms of about $47 million spent last year, $80 million this year across the quarters, where did that spend come from? And what were the learnings that made you more bullish on spending or doubling down on more brand marketing in terms of quantifiable facts that we can learn from outside?
Jeff McCombs : Yes, I think, I'll touch on a few things there. With respect to the $47 million in 2021, as we mentioned, we really started investing more aggressively in the second half. I mean, we launched the work marketplace in May of last year, spent a bit around that in Q2 of last year. And then from Q3 to Q4, we increased the brand spend from $8 million to $17 million. We mentioned that for 2022, our current target is $80 million with a little bit more front-end loaded than at the Q4 of this year, but roughly in line with the levels that we saw in Q4 of 2021. We are -- with all of that being said, we've been at this for several quarters of trying to lay the foundation to be able to go aggressively against this opportunity. And we know that it's going to take time. We are absolutely taking a test and learn approach. We want to understand what works best across reach and frequency by geo, by channel, all of those different intersections. And as we get those learnings, we're going to move the dollars to the areas that are performing well, and move them away from the areas where we're not getting the target performance. And so that really is the mentality that we're approaching this. And we believe that there's a significant opportunity that if we can absolutely convert or meaningful lift our unaided awareness, we have the opportunity to turn that into real business outcomes, but there's a lot of work to do ahead of us to get there.
Rohit Kulkarni: Okay. And I know in the last few months you have started to experiment with advertising and more subscriptions to both sellers and buyers. Any update as to where you are with both these two new initiatives?
Hayden Brown: I'd say, it's definitely early days, but we're very excited about the paid ad products that we have launched, Rohit. They are a new way for us to do basically two things. One is create new high-quality signals in our work marketplace around things like intent and availability, and who's really interested in what and why. And so those signaling factors have been really valuable in terms of increasing things like match quality on the platform. And then secondarily, they also create opportunities for further monetization, and that is also an exciting piece of the puzzle. So, it's early days on both of the products we've launched boosted proposals, availability badges things like that. But I think these do represent a really nice new opportunity for us to be both improving the product experience and match quality, while also monetizing the business in new ways.
Jeff McCombs : And the availability just moved out of beta into GA last week or so. So we're looking forward to seeing how those perform more broadly.
Rohit Kulkarni: Okay. If I could ask one kind of competitive dynamic question. Are you seeing any changes in new players emerge? Any comments on Microsoft, LinkedIn launching their services marketplace? How do you see them -- if you see them in the broader ecosystem as such?
Hayden Brown: I mean, the space is dynamic. It hasn't really changed quarter-over-quarter and we don't really hear anything about those types of competitors in the market from customers. So, we're just staying focused on our business, our strategy, it's working, it's unlocking the space. And I think that's the story for us. We're not hearing the noise about anybody else. 
Rohit Kulkarni: Okay. Thank you very much. Fantastic.
Operator: Thank you. And our last question will be from the line of Brent Thill from Jefferies. You may begin.
Unidentified Analyst: Hi. Thank you. This is Sang in for Brent Thill. Just a couple of, I guess, maybe housekeeping in smaller topics. Just wondering if you had seen any impact or benefits from Omicron late in Q4 or so far in Q1? And then second on the OpEx line items I mean Q4 as a percentage of revenue pretty much all of the OpEx lines moved up. Is that the sort of trend we should expect through the rest of 2022, or is it really more concentrated in marketing? Thank you. 
Jeff McCombs: Sure. Thank you. So with respect to Omicron as far as I can tell the dynamics and trends in the business weren't meaningfully driven by the surge in Omicron. We did see nice strength in the business post Thanksgiving a bit stronger than we had expected. But any attempt to kind of correlate that with Omicron either geographically from a time frame perspective didn't result in us having a strong conviction that it came from Omicron. With respect to OpEx as -- as we said our overall approach is we want to invest as aggressively as we possibly can wherever we're seeing the return. So in sales and marketing you're going to see healthy growth in that line item driven by both brand marketing and our sales efforts as well as performance marketing. In R&D we are aggressively moving to build out the work marketplace beyond where we currently have it. And so you'll see that grow as well. And then we're trying to drive leverage in G&A and cost of revenue. Obviously, all in pursuit of delivering that long-term 30% to 35% EBITDA margin. 
Unidentified Analyst: Thanks, Jeff.
Operator: I'm not showing any further questions in the queue. I'd like to turn the call over to Evan for any closing remarks. 
Evan Barbosa: On behalf of the entire Upwork team thank you for joining us today and thank you for your interest in Upwork. If you need any clarifications or have any follow-up questions please do not hesitate to reach out to me at investor@upwork.com. This concludes our call. Thank you.  Operator  This concludes today's conference call. Thank you for participating. You may now disconnect. Everyone have a great day.